Operator: Good day and thank you for standing by. Welcome to the Second Quarter 2023 Sonoco Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Lisa Weeks, Vice President of Investor Relations. Please go ahead.
Lisa Weeks: Thank you, Operator, and thanks to everyone for joining us today for Sonoco's second quarter '23 earnings call. Joining me this morning are Howard Coker, President and CEO; Rob Dillard, Chief Financial Officer; and Rodger Fuller, Chief Operating Officer. Last evening, we issued a news release highlighting our financial performance for the second quarter, and we prepared a presentation that we will reference during this call. The press release and presentation are available online under the Investor Relations section of our Web site at www.sonoco.com. As a reminder, during today's call we will discuss a number of forward-looking statements based on current expectations, estimates, and projections. These statements are not guarantees of future performance and are subject to certain risks and uncertainties. Therefore actual results may differ materially. Please take a moment to review the forward-looking statements on Page 2 of the presentation. Additionally, today's presentation includes the use of non-GAAP financial measures, which management believes provides useful information to investors about the company's financial condition and results of operations. Further information about the company's use of non-GAAP financial measures, including definitions as well as reconciliations to GAAP measures, is available under the Investor Relations section of our Web site. For today's call, Howard will begin by covering a summary of second quarter '23 performance. Rob will then review our detailed financial results for the quarter, and along with Rodger Fuller, we'll discuss our guidance update for the full-year 2023. Howard will then provide closing comments, followed by a Q&A session. If you will turn to slide four in our presentation, I will now turn the call over to our CEO, Howard Coker.
Howard Coker: Thank you, Lisa, and good morning to everyone. I just want to start by acknowledging the strong performance in cash flows Sonoco against the backdrop of a highly volatile environment. Rob will take you through the details, but what I'll tell you is that market conditions were pretty turbulent in the quarter with a marked down-shift in demand as the quarter progressed, translating into lower volumes across virtually every area of our business on a global basis. For the second quarter, net sales were $1.7 billion, EBITDA was $275 million, and adjusted earnings per share were $1.38. Most of our businesses were at or above expectations for the quarter due to commercial and operational excellence and productivity improvements. [But know] (ph) the businesses that were most affected by lower volumes were consumer metal and global industrials which were impacted by inventory management and destocking programs with our customers. To give you my perspective overall, customers in metal and industrials are buying less, both related to safe full-time discretionary items. Our customers are searching for price point elasticity which creates demand and inventory management challenges throughout the supply chain. Our customers are faced now with real macro-driven changes to consumer buying habits, their own working capital management priorities, and promotional timing, which makes visibility harder in the near-term. The downstream impact is reflected in our Industrials business though we provide products serving the broader manufacturing sector, and packaging use in household staples, discretionary goods, and construction. [Iron] (ph) is falling down, and lower volumes [are resolved] (ph). However, even though through these turbulent times, we were able to deliver 16% of adjusted EBITDA in the quarter. Our hard work over the past few years on the portfolio structural simplification, operational improvements and commercial excellence have enabled more stable profitability [and in prior] (ph) economic slowdowns in our history. Though we are not satisfied with these results, our excellent cash flow and EBITDA margins reinforce the durability of our underlying profitability and the integrity of our strategy. And with that, I'll turn the call over to Rob for more details on the quarter and our '23 outlook. Rob?
Rob Dillard: Thanks, Howard. I'll begin on slide six with a review of key financial results for the second quarter. Please note, that all results discussed will be adjusted and all growth metrics will be on a year-over-year basis, unless otherwise stated. The GAAP to non-GAAP EPS reconciliation can be found in the appendix of this presentation as well as in the press release. As Howard said, the second quarter financial results Sonoco's ability to deliver strong results despite a low-volume environment. We continue to achieve strong results in most businesses in the portfolio, including meaningful improvement in rigid paper containers and all other, and record results in flexible. A few businesses were below expectations and meaningfully impacted the consolidated results, mainly metal packaging and consumer, and industrial North America. Consolidated sales decreased to $1.7 billion. This sales decrease was primarily driven by lower volumes due to inflationary pricing and destocking at our customers in retail, as well as index-based price decreases in metal packaging and industrial. Adjusted operating profit decreased to $211 million, and adjusted EBITDA decreased to $275 million. Importantly, we maintained an above 16% adjusted EBITDA margin through continued focus on commercial and operational excellence, as well as long-term cost controls associated with our business transformation program. Adjusted earnings per share decreased to $1.38. Non-operating factors impacted EPS negative $0.07 due to higher interest rates on floating rate debt. The sales bridge, on slide seven, provides the primary drivers for revenue growth in the quarter. Volume/mix was negative $190 million or negative 9.9%. This volume decrease was anticipated and was in the low-to-mid-single digits in most businesses. We continue to have active dialogue with customers, and have been able to mitigate low volumes with operational and cost actions in most businesses. Two notable exceptions to this were the disrupted demand in a handful of customers in metal packaging, and lower than anticipated demand in industrial North America. The fixed cost structures of these businesses make them more sensitive to volume uncertainty, and this had a meaningful impact on the consolidated results. Acquisitions/divestitures also had a minor negative impact on sales, and were accounted for in volume on the bridge. Excluding acquisitions and divestitures, volume/mix was negative 9.7%; price was negative $15 million. Our pricing performance continues to reflect strategic pricing efforts associated with our commercial excellence strategy, manage [down the value] (ph) and managing contracts to recover inflation. Most businesses achieved marginally positive price performance in the quarter. This was offset by meaningful index-based price decreases in metal packaging and consumer, and the paper businesses globally in industrial. The adjusted operating profit bridge illustrates the year-over-year change in greater detail. Volume/mix was negative $65 million as operations were impacted by the previously discussed impact of inflationary pricing and destocking at our customers and retail. Price/cost was positive $12 million in the quarter as strategic pricing and purchasing offset the predicted impact of $27 million of metal price overlap. Other included higher depreciation and positive [FX] (ph) and improved operating profit $4 million in the quarter. Slide eight has an overview of our segment performance for the quarter. Consumer sales decreased to $924 million. Flexible sales grew mid-single digits, and rigid paper container sales grew low single digits due to strong price and generally resilient volume mix. Sales in Metal Packaging decreased due to tinplate-based price pass-throughs and inventory management-driven volume decreases at a handful of customers in both food and aerosol. Consumer operating profit decreased to $95 million due primarily to lower volume and negative price/cost. Flexibles had record operating profit, and rigid paper containers grew operating profit more than 15%. Consumer operating profit margin decreased to 10.3%. Consumer price/cost was negative $20 million. The strong price/cost in rigid paper containers and flexibles was offset by the impact of metal price overlap. Excluding Metal Packaging, the Consumer segment would have grown operating profit over 30%, and operating profit margins would have been 15%. Metal Packaging is performing well in a disrupted demand environment, and has improved results from the year we purchased the business when adjusted for metal price overlap. We're ahead of plan on our synergy projects, and we believe we've improved the competitive position of the business as we continue to invest in higher-return projects. Turning to Industrial, Industrial sales decreased to $585 million, Industrial volumes decreased 15% due to lower demand in all key markets and geographies. This decrease was most acute in North America and Europe, though all regions were impacted. Operating profit decreased to $87 million as positive price cost was offset by lower volumes and negative productivity from deleveraging. Notably, this was only $7 million less than the record results in the first quarter of 2023. The Industrial segment achieved positive price cost of $21 million as commercial excellence activities continue to align price with the value our products create. Operating profit margin increased to 14.9%, a meaningful improvement from previous cyclical lows. All Other sales were flat, at $197 million, and operating profit increased 73%, to $29 million. Moving to slide nine, our capital allocation framework is aligned with our business strategy to drive value creation for our shareholders. Our priority is to allocate capital to high-return investments in our core businesses to drive growth and improve efficiency. We remain focused on increasing the dividend, which at present is $0.51 per share on a quarterly basis or greater than 3% average yield over the past 12 months. After capital investments and the dividend, we prioritize investments in accretive M&A aligned with our long-term strategy balanced against our strategic priority of maintaining strong liquidity and [accelerate] (ph) the capital. We ended the second quarter with over $1 billion in total liquidity. In the second quarter, we generated $251 million operating cash flow and invested $78 million in capital expenditures. On slide 10, we have our guidance update. Our Q3 EPS guidance is $1.25 to $1.35. We are revising our full-year 2023 EPS guidance to $5.10 to $5.40. We are also revising our full-year 2023 adjusted EBITDA guidance to $1.02 billion to $1.07 billion. We are affirming our full-year 2023 operating cash flow guidance to $925 million to $975 million. We anticipate closing the RTS and WestRock paper mill acquisition this year, and this is not in our forecast. Now, Rodger will discuss the 2023 outlook.
Rodger Fuller: Thanks, Rob. If you please turn to slide 11 for our view on segment performance and drivers for the third quarter of 2023, first, with the consumer segment for the third quarter, we expect continued strong performance in our global rigid paper containers from both existing and new products as sustainability-driven initiatives are driving our pipeline and new growth opportunities. And on a positive note, select European customers are launching our all paper products in European markets this summer using Sonoco's unique and proprietary technology. In fact, we are expanding capacity for rigid paper containers in Brazil, Malaysia, and Poland to advantage of globalization products that use our technology. We also expect continued strong performance in our flexible packaging business. The team is doing just a phenomenal job expanding this business with new and existing customers. And, the productivity numbers are very impressive. These drivers will sustain flexible's performance into the next quarter. We anticipate metal volumes improving sequentially in the third quarter as we enter pack season for both food and aerosol can lines are below our original expectations for the second-half due to inventory destocking that Howard and Rob have already referenced. Even with lower volumes, metal profitability will improve from higher sequential volumes and the reduced impact of metal price overlap. Lastly, we expect seasonally soft volumes in our rigid plastic foods business where volume was also a challenge in the second quarter. Turning to the industrial segment, we expect volumes to decline sequentially from the second quarter, and remain soft relatively through the second-half of the year in both our paper and converted products. All geographies are suffering from persistent demand weakness across our core industrial markets for paper, cores and flexibles. Our customers are siding mill end market demand and customer destocking as factors for these declines. Protective packaging for the consumer light goods was up 5% versus a relatively soft demand in 2022. We are also expanding this paper based protective packaging into the European market. With lower volumes, productivity improvements remained challenging from deleveraging. We continue to aggressively manage variable expenses as a accounting measure to minimize the impacts from the lower volumes. In all other businesses, we continue to have net stable demand across this collection of business with some positive seasonal impacts on shippers in our ThermoSafe products business. We are managing price costs as resin prices remained stable to declining, so, minimal impact to all other businesses from resin in the third quarter. And finally, as we have discussed before, we will continue invest in high return capital and all other businesses with productivity and run these businesses as efficiently as we can. We expect to also see the benefits of these improvements into the next quarter and beyond. So, overall, in the consumer segment in the third quarter, we had seasonal sales improvement. And the all other segment is expected to continue to perform well. In our industrial segment, we are suffering through a really challenging demand environment. Thanks to our team for their diligence in managing these tough times as we will see greater benefits in industrial when volumes return as evidenced by our margin performance in industrial in Q2. With that, Howard, I give back to you.
Howard Coker: Thanks for that update, and thanks Rob and Rodger for cover the results. Before going to questions, I just want to provide an update on elements of Sonoco at the quarter and [indiscernible]. First, I continue to receive questions on where we are relative to reshaping the following quarter. I'll just tell you, it is active. We are managing a funnel of accretive acquisitions and plans for non-core divestitures over the next few years. As you know, the deal environment is not great right now. And any future selling or buying of assets or businesses will be based on timing for the best value for our shareholders. On the operating model side, I think our EBITDA results prove we are operating well in choppy waters right now. We have the plans, capabilities, and discipline to operate in this market. And we have durable processes to manage and align cost to opportunities and challenges. Given our expectations for market demand, we have amplified our ongoing discipline and expense management. As Rob highlighted, we're continuing to generate solid cash in the business, and our investment-grade balance sheet is strong. We raised our dividend last quarter, and we will remain focused on the best ways to generate returns for our shareholders. And finally, our commitments to ESG and sustainability initiatives are unwavering, and remain wholly aligned to the core values of the company. I'll just close with this, a hallmark of Sonoco is to serve our customers whenever, wherever, and however they need us to be. And they know we will be there to help them navigate the future as we have through COVID and a number of other challenges. Actions we have taken over the past three or four years have resulted in a stronger operating model to handle times of uncertainty. And we will continue to adapt and evolve to build a better Sonoco now, and in the future. And with that, and at this time, we'll be happy to entertain any questions you may have.
Operator: [Operator Instructions] Our first question comes from the line of Ghansham Panjabi with Robert W. Baird.
Ghansham Panjabi: Hey, guys, good morning. There's obviously a lot going on with comparisons or the impact to COVID. But you're now around 10% EBIT margins for the Consumer segment, which basically matches segment margins from back in 2019. Just curious, Howard and Roger, is this the right baseline for margins on a go-forward basis?
Howard Coker: On the Consumer side, Ghansham?
Ghansham Panjabi: Yes, exactly.
Howard Coker: No. I think if you look at the impact, and if you go back to what we've publicized with the metal issues that we had to absorb, really year-to-date, and through first two months of the second quarter, really brought those down. So, actually, we expect to be north of the 10% -- well north of the 10% on a go-forward basis once we clear out some of these one-off-type events.
Ghansham Panjabi: Okay. And then on the Industrial side, I think you mentioned 15% decline in volumes in the segment. Obviously, the end markets are weaker, and that's playing a major role in that. I'm just trying to reconcile that versus the operating margins you're delivering in that segment, which are quite a bit higher relative to your historical base line and just your thoughts as it relates to the sustainability of that margin threshold?
Howard Coker: Yes, Ghansham, not to go back too far, and talk about the last three or four year, but really the last five or six years, we have really put a lot of capital towards improving the performance of our Industrial business on a global basis. And I won't talk through all of the projects and opportunities that we've pursued over this period of time, but the one I will is Project Horizon. What I'll say about Horizon is, you can say, look, on the surface, with volumes where they are, we have not been able to take advantage of the productivity associated with that investment. But on the other hand, it also took us out of the corrugated medium market where we are non-integrated, and a very small machine and scope of the rest of the industry, which you think about previous times where we saw similar type slowdowns via the COVID, or even all the way back to the '08 or '09 time period, we [self-helped ourselves buying] (ph) 15% of our North American paper volume is no longer tied to a market that we have absolutely -- really at the time, had absolutely no outlook for that capacity. So, I'm using that only as a reference to the number of projects that we've undertaken to improve the overall durability of our Industrial business.
Ghansham Panjabi: Perfect, thank you.
Operator: Our next question comes from the line of Gabe Hadje with Wells Fargo.
Gabe Hadje: Yes, good morning. Thanks for the question. One was something we picked up in the trade publications here in the past week or so, talking about URB imports into U.S. I don't really recall this something as a topic we've read about, maybe not in the last 10 years or something like that. So, just curious, Howard, do you view this more of a function of local demand patterns that producers are maybe experiencing in their local markets, and then perhaps something maybe that you expect to persist for whatever reason? And just curious if you're moving anything around your own system just based maybe on ability or cost of OCC?
Rodger Fuller: Hi, Gabe, this is Roger. Imports of URB into the U.S. is really nothing new. I know it was picked up in the publication, but there have been imports coming in for many years. It did stop during COVID because of the high cost of logistics and transportation, and it has picked back up now as the cost of containers have returned to a more reasonable level. So, that's new. And as far as our system, we represent it every region, so we really don't move board from region to region simply because we don't need to do that. But when volumes are soft, like they are now, seeing board coming in from -- on the East Coast, from places like Italy or on the West Coast from Asia is not unusual, and we've dealt with that for many years.
Gabe Hadje: Okay. And I guess maybe a question going into '24, to the extent that we see some of these choppy order patterns or maybe softer than what we'd expect demand. Can you talk about just your ability to variabilize the cost structure? Or you guys have been fairly active to drive margins higher here, of late, on the commercial side, maybe how demand-dependent some of your productivity is that you talk about getting on an annual basis, and if there's anything outside a pattern that you could do as things are soft right now?
Howard Coker: Yes, we obviously are taking the necessary rightsizing actions to match the current demand profile, and that's across operations, and certainly is on the fixed side as well. The encouragement I have about what's going on right now, we've said all along -- well, I say all along, the last several periods, that we are in a better position today to handle uncertain times as we're in right now. And it just makes me feel very positive as we will see -- hopefully see demand start to pick back up, and the ability to leverage that beyond the margin profiles that we're looking at right now [I guess the cause] (ph) for really positive viewpoint as volumes do recover.
Gabe Hadje: Okay, thank you. Good luck.
Operator: Our next question comes from the line of Mark Weintraub with Seaport Research Partners.
Mark Weintraub: Thank you. First, could you just update us, in your guidance, how much is the metal price overlap, is it still in the $40 million or has that changed?
Rob Dillard: Hey, Mark, this is Rob. For the quarter, metal price overlap was negative $27 million. And so, that includes what we incurred this year plus the year-over-year impact. And in Q1, as you remember, that was $86 million. That's largely completed, if not totally completed for the year, at this point. So, the full-year metal price overlap will be $113 million.
Mark Weintraub: Okay. And so, you've cut your guidance on EBITDA by $80 million. So, could you walk through what the biggest components of that reduction would have reflected?
Rob Dillard: Yes, so it was about 5% to 15% decrease in the EBITDA guide. If you think about that by segment, consumer is going to be down. We're expecting between 15% and 20%, largely driven by the metal price overlap, which we just discussed, and then also some relatively negative or meaningfully negative performance in plastic foods, which has been down due to the store business, which we're working through right now. Industrial is going to be relatively flat, actually year-over-year with some positive price costs and volume mix kind of offsetting each other. Other will be up 40% to 50%. And so that should bridge you to the total impact for the year.
Mark Weintraub: Okay. And just to clarify, in terms of the delta versus your prior expectations, where was that concentrated?
Howard Coker: It's really an industrial. I think that when we originally set up the view for the year, we thought that the industrial would only really have this negatively low-volume environment for the first-half and that we'd see some moderation in the second-half. And what we're seeing really with our customers is people have, they haven't seen it this low for this long. We are at kind of 2009 kind of levels in terms of volumes from an industry perspective and an utilization perspective. And so, there has been this expectation that it has to recover sooner than later. And our current view is that it won't recover in 2023.
Mark Weintraub: Right, and it really is striking, because it had fallen quite a bit even in the second-half of last year. And are you getting a better sense as to how much of this may have been a function of the volumes having been inflated during the pandemic versus a destock or sort of where the trend line would be?
Howard Coker: No, we don't think that there was inflated volume at all during COVID actually, there was a modest slip down. We think that this is really just complete destocking of that industry and some disruption associated with inventories.
Mark Weintraub: Okay, super. Just one last quick one, if I could just on RTS any update? You did say you anticipated it to close by the end of the year. I believe there's that second request. Any color you can give us in terms of how that's progressing?
Howard Coker: Yes, Mark this is Howard. We expect to close late third quarter, early fourth quarter.
Mark Weintraub: Okay, thank you.
Operator: Our next question comes from the line of Anthony Pettinari with Citi.
Unidentified Analyst: Good morning. This is Greg on for Anthony. My first question is on the pack season. So we've heard comments from others around maybe some inclement weather, kind of a lackluster harvest season impacting this year. So I'm wondering, from your perspective, how would you characterize this year's Ag harvest and pack season relative to prior years and then relative to your expectations heading in and acknowledging the harvest is totally out of your control? Is it possible to quantify the impact of weather or adverse harvests on food canvas in the second quarter and to what degree a poor harvest is factored into your full-year guidance?
Howard Coker: Yes, I would say if you really got deeper into our metal volumes were pretty similar to what CMI data. The public data represented but then when you really dig into it, it's down to a couple of discrete customers on the food can side and on the aerosol side as well. And if you take those out, you are actually flat to up. And what we're seeing from a pack season perspective, what we're seeing from one in particular is that things are starting to pick up now and expect that they should start normalizing as we enter into the third quarter. The other couple related to conscious choices of price over volume, but also we're seeing that the volume is starting to return there as well. Similarly not pack related, but on the aerosol side, same as we enter the third quarter, July does not make a quarter, but we are seeing remarkable improvements in a couple of aerosol accounts that brought us down. So, broadly speaking -- and Rob talked to this, we're extremely pleased with the performance of the business, the integration, the synergies obtained and frankly, the market reception that we've received. So we view this as this second quarter phenomenon as not being one of any concern at all. And we feel like we are starting to see in July and our customers are telling us that we are making a positive turn at this point in time. So hope that helps, Greg?
Unidentified Analyst: Thank you, Mr. Coker. Yes, that's very helpful. I appreciate the color. And just my second question, and last question is around price, I guess across the entire Sonoco portfolio. So we've seen weaker volumes now for a few quarters. Destocking, I'm wondering historically how and when does volume weakness translate into customer pushback on pricing? And then if you could segue that into what you're seeing in today's marketplace, that would be really helpful.
Howard Coker: Yes, let me talk about the industrial side to start with, which is a bit of a head scratcher for us. We've always looked at if you think about what our industrial business, we supply at the beginning of really industrial and consumer supply chains. And historically what we would have seen is that as the industrial businesses slow, we see an adverse or the opposite happening on the consumer side that starting to pick up. And this is kind of unique situation that we're in right now where industrial if you're looking at the data and data alone, you would say that the global economies are in pretty big trouble. But that is not what we're hearing, but it's certainly what we're feeling. So question mark from our perspective is what is going on here for textiles, films, major markets to be down on a global basis as they are understandably in Europe where they think acknowledged in a recession. We understand it, but we have not thus far seen to pick up on the consumer side. And I think that relates to your question, Greg is how many customers and we are seeing customers saying hey, look, we're taking price over volume at this point in time, but we're starting to see cracks in that, that we are seeing more promotion activity. Our customers are telling us that we should see some improvements going forward on the consumer side. The industrial side is the real head scratcher right now. But I will say again that the position that we put ourselves in times like this allows us to perform extremely well, even though the volumes aren't where we would like them to be.
Rodger Fuller: Yes, this is Rodger. I would just add, we have built in some margin compression in industrial and into the third and fourth quarters, primarily due to higher costs. OCC on average up, let's call it $8 to $10 a ton, well deserved wage increases for our team. So not so much from price, but some continued inflation in the system. So again, we did build in some margin compression as we get into the second-half of the year.
Unidentified Analyst: That makes sense. Appreciate the color.
Operator: Our next question comes from the line of Cleve Rueckert with UBS.
Cleveland Rueckert: Well, good morning. Thanks for taking our questions. I just had one follow-up on the guidance and really a couple of questions there. But firstly, how did market conditions develop in the second quarter? I mean it sounds like maybe the plan had some improvement in industrial in the second-half built in that didn't materialize. I'm just curious to understand, did market conditions weaken in the second quarter, or was it just those lack of orders that didn't come through? And now you sort of lost some visibility into the second-half?
Rodger Fuller: Yes, so this is Rodger. In industrial, yes, we were as we exited the first quarter, we expected some improvement in volumes in industrial in the second-half of the year. What we're hearing from our customers now lead us to believe that's simply not going to happen. So as you look at sequentially, the third quarter is going to be down 4% versus our second quarter volumes. So, that's pretty weak, and then continued weakness into the fourth quarter. So, frankly but again we were expecting some of the inventory had worked itself out of the system, and we'd see some pickup now in our guidance. We're not seeing that in the second-half of the year. I think that was the biggest volume change from our previous guidance to where we are today.
Cleveland Rueckert: Okay. So it's sort of a lack of improvement, not necessarily a weakening of market conditions?
Rodger Fuller: Correct. Well, seasonally Europe is always slower than the third quarter. So again, total industrial seasonally down about 4% versus the second quarter.
Cleveland Rueckert: Yes, and then so just in the industrial business, what are your lead times there in that business? And I'm just kind of curious, how quickly do you think market conditions could turn around and improve? It looks like the guidance, if I just take the midpoints; Q4 is kind of the low point on EPS. It sounds like that's conservative, but I'm just wondering, is there potential to outperform that or do you kind of have visibility into the end of the year now? And if you do get the orders that you're looking for, they'll be coming in 2024?
Rodger Fuller: Yes, Cleve, we don't normally carry large backlogs, just the nature of our business. But what I'd say is right now, we're basing our forecast on the best information that we have. One of the best guys that I can look at is what we're hearing. And across the North American economic situation right now, being more on a positive trend than most people thought, that fully sustainable. You would certainly think that the business that we're in, which is really the point, the tip of the arrow in terms of both manufacturing, industrial and consumer products, that we should benefit from that. So we don't have that crystal ball in front of us. Our customers can only tell us what they know at this point in time. And so, yes, we are continuing to drag out the current type of demand profile that we're seeing through the end of the year. Could that change? I sure hope so.
Cleveland Rueckert: Yes, that's pretty clear. I'll turn it over. Thanks for taking the questions guys. Appreciate it.
Operator: [Operator Instructions] Our next question comes from George Staphos with Bank of America.
George Staphos: Hi, everyone. Good morning. How are you? Thanks for the details. Can you hear me okay?
Rodger Fuller: Yes, George.
George Staphos: So, happy August, I guess the first question I had, if we look at the sequential earnings downtick 3Q versus 2Q and Rodger, I think you covered this already in some of the other questions. Is it roughly 50:50 would you say between the inflation and the volume downtick you're seeing in industrial? Would that be or how would you frame it for us from the 2Q number to the 3Q guide?
Rodger Fuller: That's close, George. I think that's probably very close.
George Staphos: Okay, now thanks for that. Now, what's interesting is that some of the other companies that buy tubes and cores for winding their products that we cover have started to see some sequential improvement. Still down year-on-year, but seeing improved trends 3Q versus 2Q and yet what you're relaying here is industrial. That's still pretty weak. So how should we reconcile that? What are we missing in terms of that interpretation and which end markets look particularly weak sequentially 3Q versus 2Q?
Rodger Fuller: Yes, it's really for industrial. Yes, right, George, this is Rodger. Textiles and film are the weakest. As we look forward, we have seen some recovery in the paper side, more on the corrugated side not so much on printing and writing. But what we're hearing primarily from textiles and film, really globally, they're seeing little recovery. And I think it goes back to inventory in the system and their customers working through the inventory they have in the system. As Howard said, we hope their crystal ball is not totally correct, but we're going by what they tell us.
George Staphos: Okay, good. We appreciate that color there Rodger. Last, next question I should say. And then we'll have one other and we'll turn it over. In metal, can you give us what you believe the year-on-year volume impact to EBIT or EBITDA will be versus 2022. We have the middle overlap as you called it, over a $100 million between 1Q and 2Q. What is the year-on-year impact from volume for middle and consumer EBITD for '23 versus '22?
Howard Coker: Hey, George. It will be between $40 million and $60 million this year. And that's volume and the associated productivity with it.
George Staphos: Okay. And then, my last question is when you sit back and you look at your volumes and net impact relative to what's coming out of CMI, what gives you comfort that you are -- and I haven't sort of mapped this, so perhaps should be exactly the same. But, what gives you comfort that you are not losing share? So, differently could you give us on a year-to-date basis what your volume was by key end market in metal this year versus last year? Thank you, guys, and I'll turn it over.
Howard Coker: Yes, I have that in front of me, George. Foods down about 10%, aerosols around 14%, but again, when you dig into that, it relates to really a couple of customers in both segments of the business. And, their stories behind, one being more inventory carrier, and the other one related to price versus volume decisions that that customers are making. Well, again, I am repeating myself that that was the second quarter phenomenon that we see pulling out of as we entered the third quarter, more normalized volumes. And in terms your question about share, we have not lost any share that I am aware of at all. Certainly nothing material and the market reception has been extremely positive as Sonoco has been in this business since last year. So, we know that, just say, a one-off if you will for the quarter, and that we are going to be pulling ourselves out as that customers are telling us that's exactly what the case is. And, we are again excited about the market reception that received thus far.
George Staphos: Thank you. I'll now turn it over and probably get back in queue.
Howard Coker: Right, thanks.
Operator: That concludes today's question-and-answer session. I would like to turn the call back to Lisa Weeks for closing remarks.
Lisa Weeks: Thank you for joining us today. And if you have any follow-up questions, we will around after the call, or we can follow-up with the scheduled call later. We look forward to seeing you on the road to late summer and fall until we share third quarter results in early November. Thank you to everyone, and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.